Rolf Marquardt: Good morning, everyone, and welcome to this conference call for the third quarter 2019. Joining me today, I have Lars Hoglund, Head of Investor Relations; and Annika Engler, Head of Group Accounting. Let’s start on slide number five. Handelsbanken has for decades run a successful business based on local presence, long-term relationships and strong local decision-making power. This model is particularly well-suited for customers both private and corporate with strong cash flows and that want to have a long-term relationship with their bank. Like the bank, these customers strive for a stable financial position over time and low risk. The corporate customers where this model works best are property companies, tenant-owned associations and other owner-managed companies, smaller and larger. The strategic review that we initiated earlier this year clearly tells us that this is where we shall focus our future efforts and make sure we provide an offering which is state-of-the-art and complete for these customers. Here, we will deploy more resources and strengthen our position further. The review that has been carried out since Q2 covers three different areas. That is our geographical presence outside of our home markets; the product offering; and internal rationalization. As a consequence, we will concentrate our geographical offering to our six home markets plus Luxembourg and New York. We are closing down the operations in Asia and we also intend to do the same in Germany. Earlier, we have announced the closure of Poland and the Baltic countries. We will reduce the product offering, removing products and services that we deem not to support the core business and the core customers. These measures will reduce complexity, reduce underlying costs and also reduce the need for future investments. This contributes to the rationalization of the central units, a work that has already been initiated. All in all, we estimate that these actions will reduce the annual costs, all else equal, by approximately SEK 1.5 billion. By year-end 2020, we will be at a level that is SEK 1 billion lower on an annual basis. And the rest of the reduction of the underlying cost will come within another year so that we’ll have a full impact in 2022. We estimate an income loss due to these changes of SEK 0.5 billion. The ambition is, however, that this will be counteracted by increased growth opportunities in our core areas. In order to facilitate this, a SEK 900 million provision has been made in Q3. The reserve will be used for closing down operations outside of the home markets, other costs associated with the streamlining as well as redundancies in central units. We thereby create a bank which is in a good position to grow the business further and also to do it in a cost-efficient manner, the way Handelsbanken should be. On to Slide 26 and the result for the quarter, which was up by 5% adjusted for currency effect and one-offs. Net interest income was largely unchanged. Volume growth continued to add net interest income as well as the day account effect while the net effect from margins and funding costs was negative. The negative net effect was attributed to Sweden while the other home markets showed a slight positive effect. There was a slight drop in the mortgage margin in Sweden. But the net negative of margins and funding costs, minus SEK 92 million, was not all attributed to mortgages. Some of it was due to somewhat lower margins in the corporate book and a small part was also due to the issuance of the first senior non-preferred bond we did during the quarter. In general, we see the mortgage margin drop as undramatic and we don’t expect any big changes going forward. In general, we have continued to see lending growth in all our home markets. It’s fair to say that growth has slowed down somewhat gradually this year, which is what we normally see in this late phase of the credit cycle. Fees and commissions increased by 1%. We saw a continued strong net inflow in the savings business. Net payments increased by 9%, partly explained by annual kickbacks from card companies. Costs were down by 2%, adjusted for currency effects and restructuring costs. Credit losses amounted to 3 basis points compared to the 7 basis points in Q2 and again largely explained by a single exposure in Sweden. Credit quality remained stable. On Slide 13, we can see the continued good development of fee and commission business, again driven by the savings business. On to Slide 33, please. The cost in the quarter, excluding reserves, decreased by 1.8%. This is encouraging, but I will not yet label this as a trend shift since costs tend to drop in Q3 seasonally. Last year was an exception though with flat cost in Q3. So at least, we are back to a more normal development here. We have not yet, of course, seen any impact from the measures we have just announced. As for the first six months, no allocation to Oktogonen was made. AML-related costs continued to add to the overall cost picture and development cost decreased slightly. Please go to Slide 37 and let me summarize the cost situation, where 2019 is sum of the last four quarters. As I mentioned earlier, the measures we take will reduce the annual cost by SEK 1.5 billion. To a large extent, this will be shown in other costs. SEK 1 billion of that will materialize during 2020 so that we enter 2021 with a running cost level SEK 1 billion lower. In 2019, we are doubling the spending on AML, taking that to an expected level of SEK 1.2 billion for the full year. This is the cost related to financial crime prevention units on top of all the work carried out in the branches. We expect AML costs to remain at the same level next year. Development costs are also expected to be flat next year despite the fact that we have increased the business-related development substantially this year. In the UK, we have clearly established a higher cost level with the subsidiary. The big increase in fixed costs here is behind us. But we will continue to invest in the UK also to improve efficiency and, of course, expect the business growth that will continue, which is also true in the Netherlands. But all in all, I would say that a more focused and less complex bank enable us to achieve an improved cost efficiency and get back to positive jaws again within a not-too-distant future. Please go to Slide 36. This picture shows how our spending on IT development is split. The shift I talked about in the previous quarter continues. The part of the development cost related to regulatory compliance decreases and the part associated to business development increases. This means that we have a greater flexibility in deciding the level of total development investments. And it becomes easy for us to fund the income development with the level of these investments. We reiterate our estimate that the total development cost for 2019 will be SEK 2.1 billion to SEK 2.2 billion, which means that a ramp-up in Q4 can be expected since the cost year-to-date was SEK 1.5 billion, which is unchanged compared to last year. On to Slide seven, please. Here, you can see that our capital situation is good with the CET1 ratio of 17.4%, which means that we are 1.7 percentage points above the estimated requirement from the FSA. We are, thus, within our target range. The FSA requirement has increased from 15.1% in Q2 to 15.7% in Q3, which mainly is explained by the increased countercyclical buffer requirements and an additional requirement in Pillar 2. And we know that the capital requirements are still on an increasing path. Firstly, the countercyclical buffer requirements will increase again later this year and early next. And then secondly, the regulators in both Sweden and Norway have flagged for higher capital requirements on commercial property lending. It is still too early to have a view on the effects from that. Lastly, we have some still unknown effects from the EBA technical standards that are to be implemented in 2022. When it comes to the Basel IV impact, it is still too early to assess since that will depend entirely on where the Swedish buffer requirements in a Basel IV context will end up. As always, the bank strives at having capital to assure compliance and the ability to grow, at least now when we are focusing stronger into our various core customer groups with even higher ambition. Let’s go to Slide eight and let me elaborate about some of our core areas, starting with mortgages. Our Swedish market share is about 22%. Competition is fierce in this market. And even if we were the largest player in terms of net new lending, January to August 2019, it was lower than our back book. As I mentioned, we have seen some margin pressure lately but not dramatic. As we have said for a long time, margins go up and down. And having been stable for long time, a slight drop was expected. We have strong ambitions in this market, and we will focus on being active in local markets, increase our visibility in different channels with our offering to improve response time and to integrate mortgages in our advisory tools. A large part of the business development in Sweden is devoted to the mortgage product, which would improve efficiency in our branches and make it more user-friendly for our customers. We have experienced an increase demand for advisory meetings in the mortgage process, especially driven by young adults and first-time buyers. Green mortgages will also be launched soon. Please go to Slide number 10. Our business model is very well appreciated by property companies and by other owner-managed companies, smaller and larger. Here, we show the development of lending at these types of companies. And as you can see, there has been a major trend also in Sweden with capital markets financing aside from bilateral lending. The growth has been strong this decade, both in the category of slightly smaller companies and certainly in property management companies. We will further build on our strong position in this segment regardless of how customers wants to access funding. Needless to say, our markets operation is important in this respect. And we will provide a top-class offering when it comes to related services: research, risk management, corporate finance business, et cetera. Sustainability topics are also of highest importance to these customers and we will incorporate that in our advisory services even further. Within the property sector, the transition to sustainable buildings is, of course, a major trend that opens up a lot of opportunities. The next core area is savings. Please go to Slide 11. The strong inflow into our Swedish mutual funds continues. And during the first nine months of 2019, our market share of net inflows was 23%. We have consistently been about 20% in the past decade, which is actually also the market share we have in the Swedish mortgage market. Occupational savings continues to improve. That savings product fits well into our advisory-driven business model. Regarding corporate customers, often SMEs, our close relations are central. And today, we have both tools that are easy to use and good solutions at hand, both in the Internet bank and in the corporate app. For private customers, it’s also today much easier to get a good overview and a good pension advice either locally, remotely or digitally on the web or in the app. Also outside Sweden, our savings business continues to perform well with net inflows of SEK 4.5 billion in the last 12 months. Another part of the savings offering is private banking. Please go to Slide 12. We see large potential to continue to strengthen our private banking offering in Sweden and elsewhere. Again, this is an area that fits well in our business model. In the UK, we are considered to be a leading private bank even if we do not use that label. And ambition is to steer the rest of the group in that direction as well. Please go to Slide 18. I will now dig into our three biggest home markets. As you know, we have six home markets and we are definitely very happy with all of them. Let’s have a look at our biggest home market, Sweden. Starting here in 2010, we have seen income outgrowing costs. And the cost/income ratio is well below 35%. Revenues outgrew cost also for the first nine months this year. And as you can see, we are at a growth rate now which is pretty much in line with the average growth rate this decade. The core business areas that I talked about are relevant in all our home markets. But of course, Sweden is the market where we really claim that we are and should be leading in terms of market position aiming at our core customer groups. In all other home markets, we are more or less a niche player but still focusing on the same customer groups. The branch network in Sweden is undergoing a major transition that we’ve talked about before to become fitted for customer meetings and advisory services. Please go to Slide 16. Our operation in Norway is impressive, a healthy growth with income growth exceeding cost inflation. The cost/income ratio is 33%, in line with operations in Sweden. The digitalization process has come along in Norway. In 2019, 2/3 of the new private customers are digitally onboarded. The mortgage process is highly digital. We will shortly, as one of the first banks in Norway, launch a new dashboard for corporate customers, which will add a lot of functionality to the customers and enable branches to be even more proactive in their advice. This has created a lot of extra time at the branches, which is evident in efficiency measures. The private banking offering has also been improved. And we now have private banking expertise present in all Norwegian branches. Credit quality is good. And our credit losses were small even during the crisis in the oil and offshore industry. We are selective when choosing our customers, as always. Please go to Slide 22 and the UK. The credit growth has been stable even if lending to households has leveled off due to strong competition from ring-fenced local banks. Credit growth to corporates has also cooled down a bit but was still up by 8% year-on-year. Operating profit in local currency, adjusted for the one-off last year, increased by 3% during the first three quarters. This was despite the building-up of UK headquarter and the large development uptake in the AML area. I think this indicates the underlying strength of our UK business. But it also shows the future great potential in our UK operations. When cost inflation normalizes, we have good starting point for continued growth. Within our IT development scope, we will gradually ramp up investments in the UK to improve operating efficiency in the branch network. The most important starting point is already there, satisfied customers. Please go to Slide five again and let me summarize the presentation. We have taken an important step towards becoming a more focused and less complex bank. We will increase our focus on our core areas and core customers. Our three initiatives: review all our geographical presence outside of our home markets; review of our offering; and internal rationalization are estimated to reduce the annual cost by SEK 1.5 billion, all else equal. Approximately SEK 1 billion of the reduction of the annual cost base will be in place at year-end 2020 and the rest within another year. In order to facilitate this, a SEK 900 million provision has been made in Q3. our capital situation is good with the CET1 ratio of 17.4%, which is 1.7 percentage points above the estimated requirement from the FSA. This means that we are within our target range and that we are in a good position, considering the increased capital requirements expected in 2020 and the following years. With that, I conclude my presentation, and I now open up for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Nicolas McBeath from DNB. Please go ahead. Your line is open.
Nicolas McBeath: First, a question on the cost savings. I was wondering if how we should think about the gross savings versus the net savings. Should we expect costs to be lower in absolute terms as well? Or do you expect underlying cost inflation to offset the gross savings of SEK 1.5 billion?
Rolf Marquardt: Okay, so the SEK 1.5 billion in reduced cost is all else equal so that is a gross figure. We also state that SEK 1 billion will be the impact from the end of 2020. So when we move into 2021, we have a lower cost level, all else equal, of SEK 1 billion. Of course, there might be some cost inflation, limited ones. But that’s also why we have been giving guidance regarding some of the major cost areas or the areas that have been driving cost during the last years to give you a better chance to forecast that, so meaning that, for instance, AML-related cost is expected to be SEK 1.2 billion this year and at the same level next year. And the same goes for development cost, which is estimated to end between SEK 2.1 billion and SEK 2.2 billion in 2019. We expect that to remain at the same level next year. And then finally, the cost buildup we have seen in the UK during the last year is related to the subsidiarization and also AML-related efforts in UK that is – the build-up is now mainly behind us.
Nicolas McBeath: Okay. And then a follow-up on that. Could you give some further insight where you expect the revenue loss to stem from that you identified at SEK 500 million?
Rolf Marquardt: So when you look at what we have done, I mean that consists of three different parts, the exercise and sort of the package we have now gone through. And the first one is geographical presence outside of the home markets and then it is the review of the product offering. And the majority of that expected income loss will actually stem from Handelsbanken International. So that’s the major part of it.
Nicolas McBeath: Okay. And then a question on the mortgage market. You write in the report that you see potential for increased market share in Swedish mortgage lending over time. Should we interpret that as you see a potential for structurally high market share than your 22% share of the stock or more materially potential for a catch-up towards your back book market share in terms of new lending?
Rolf Marquardt: So we don’t want to make any forecast, but – or don’t have any specified targets of a specific level. What we – our line of thinking is that we are really strong in this market, and we have many, many other tools at hand and we – this is also a very important market to us. It’s not only because it’s an important source of income in itself, it’s also still in the Scandinavian area a product that is also central to establish customer relationships and also to get other business. And that’s why it’s so important to us. But what we communicate and aim at is to improve our market share, not through a price war, rather through using all the different tools we have at hand. So some price is certainly important, it is. And we are relevant and have to be relevant price-wise already. But we also can do that through increased activity and presence in different channels and so on, which I have covered.
Nicolas McBeath: Yes. But when you refer to the increased market share, does that refer to the market share on the front book of the new lending or the back book or both?
Rolf Marquardt: Well, firstly, it is on new lending on the front book, of course. So that’s the way to move the picture.
Nicolas McBeath: Okay. And then a final question from me. I was wondering if you could clarify your dividend goal or dividend ambition. I think in earlier annual reports, you’ve written that you have an ambition to or aim to increase ordinary dividend. But that phrase was taken out of the 2018 annual report. I wonder if there was any reason behind that or if you could clarify what is your ambition actually.
Rolf Marquardt: So our ambition is the same when it comes to assessing dividends and dividend potential. And of course, we start in the end that we want to be compliant and have a good safety margin and also be able to grow. That’s where we start. But I also think that it is important in these times of increasing capital requirements to keep that in mind. So it’s against that backdrop that we make the assessments of the dividend going forward. But we haven’t changed the policy in that regard as I mentioned.
Operator: And the next question comes from the line of Johan Ekblom from UBS.
Johan Ekblom: Can I just come back to the cost savings. And I guess the big thought there is I think last time, you announced a gross cost saving number. As far as I can recall, there wasn’t really any follow-up kind of how the cost savings progressed over time. So how do you intend on report on the progress of these cost measures? And how can we kind of follow your delivery over time?
Rolf Marquardt: Johan, thank you. Well, our intention is to be transparent about this. So what we have done now is to clearly define a sort of a package or an action. And it is very detailed internally. And what we intend to do is to be transparent about how that is progressing going forward so that you can follow what happens quite easily. And that’s also – I mean if you look on Slide 37 in the pack, the SEK 1.5 billion, I mean, that’s part of the bar that you would expect to start to diminish over time. And we are going to communicate about that, so you can follow what happens.
Johan Ekblom: And I guess related to that, I mean, you’re saying most of this is coming either in central functions or in Handelsbanken International. But at the same time, you’re looking to mitigate the revenue headwinds through growth. How should we think about the cost/income differential between the areas that are getting exited and the areas you’re looking to grow? I mean is this the case of closing businesses with 100% cost/income and growing at Swedish banking-type cost/ income ratio? Or how should we think about the differential there?
Rolf Marquardt: So we haven’t sort of assessed the fixed threshold that will make sort of the distinction. But clearly, what we have been addressing now is the fact that we find ourselves in a time where it has become more and more expensive to run banking operations in each country and then you need to have a meaningful business to – on top of that. And that potential hasn’t been there in many of the countries outside of our home markets, so – and then of course, that means that the units we are now – have decided now to and intend to close down have had even negative cost/income ratios or quite poor ones. But then when we make that assessment, of course, that is something that is important. And over time, we intend to come back to positive jaws and to gradually improve the cost/income ratio and also return on equity. That’s the intention. But we haven’t specified a specific threshold. When we make that assessment, it’s also important for us to understand the long-term potential of the different businesses that we’re on and how they support what is our core business and core customer segments. So that would also sort of feed into the picture when we make that decision.
Johan Ekblom: Okay. And just finally, in terms of capital impact, I mean, should we expect any significant RWA reduction relating to these measures? Or is that kind of offset by growth elsewhere? And then I guess related to that, I think you just kind of singled out what you view as core competencies. And I guess some chunk of the large corporate business falls outside of that. Is that an area where we should expect RWAs to shrink and maybe be reallocated elsewhere?
Rolf Marquardt: There will be a certain RWA impact from closing down Handelsbanken International countries in Asia and also if we follow through with the intention, of course, to do the same in Germany. So there will be an impact, but it is not huge. Regarding large corporate business, yes, there could also be a certain impact. And what we expect then is to continue to grow in the core segments or core markets we have.
Operator: And the next question comes from the line of Sofie Peterzens from JP Morgan.
Sofie Peterzens: Yes, it’s Sofie from JPMorgan. So I was wondering with the restructuring also. You are now taking SEK 900 million of restructuring costs. Could you just confirm that this is it? Or will we see additional restructuring costs going forward?
Rolf Marquardt: This is – I mean now we have defined exactly what we want to do. And this is the restructuring cost that is related to that. Of course, we will continue to improve the bank and to do more. But this is what we have in mind at this point when it comes to restructuring reserves.
Sofie Peterzens: So we shouldn’t expect any additional restructuring costs over the next three years?
Rolf Marquardt: This is what we have at hand now and the intention we have today.
Sofie Peterzens: Okay. And in the areas of the Oktogonen contribution, how should we think about that going forward? When – what are the – or when do you think you will start to contribute again to Oktogonen?
Rolf Marquardt: So we can just conclude that we still haven’t had the prerequisites for making an allocation to Oktogonen. And the thinking behind that, as I also had mentioned before, is that we have seen over the last years a trend where costs have been increasing faster than income. And we – in order to create sustainable value creation, we have to sort of leave that track and get back on track again to positive jaws. So we haven’t – we do not have the circumstances we want to see today. And then we have to come back when we find ourselves on that position when we can make it.
Sofie Peterzens: Okay. And in terms of the SEK 1 billion AML gross that you’re seeing this year or SEK 1.2 billion, what do these relate to? Is it new IT systems? Or is it any investigations? Or could you just give a little bit more details around what the SEK 1.2 billion relates to?
Rolf Marquardt: It does not relate to any investigations. Having said that, we are always, as all banks, continuously being supervised by regulators in the countries where we operate. But what it is, is actually several different things. So first of all, it is about building infrastructure that supports management of financial crime-related risks. So that is to build KYC systems, monitoring systems, et cetera, et cetera. So that’s one part of it. And then to a certain degree, it is also to go through and collect and digitally store also KYC information. And you have to put this in context because I think it’s quite fair to say that the rules have been the same in this area for some years, so it’s not new. But it’s also fair to say that regulatory expectations, not only in the Scandinavian area but also in other countries, has increased a lot. So in reality, expectations are much higher. And that is what we are dealing with and that’s why we have increased spending so much. So it’s a way of carrying out good risk management in these areas.
Sofie Peterzens: Okay. And my final question would be on net interest income in Finland. It was actually extremely strong, up 10% quarter-on-quarter. Does it include any one-offs? And how should we think about that net interest income going forward?
Rolf Marquardt: Yes, that’s a one-off of SEK 9 million. But apart from that, it’s business as usual.
Operator: And the next question comes from the line of Antonio Reale from Morgan Stanley.
Antonio Reale: I’ve actually got two follow-ups, two questions that have already asked. The first one is on the Oktogonen comment you made earlier. Can we then tie any provisions going forward to Oktogonen to a return for the group to positive operational jaws? Is that the right understanding?
Rolf Marquardt: So I actually don’t want to make any forecasts about this. I mean Oktogonen is an important system to us, an incentive system. And we are, of course, looking forward to the day when we can make allocations to that system again. But today, we don’t have the prerequisites for doing that. And the reason behind it is the ones I have explained. So that’s the thinking we have, now we have assessed that this is not the point to change the structure that we’ve had during this year. But that is as far as I’m ready to go at this point. But I think I’ve given you guidance to make conclusions out of that.
Antonio Reale: Sure. And the second follow-up is really around the – on capital. I’m just trying to understand what levers you may have to maintain capital levels that are well within your management buffer going forward. I’m just thinking about some of the possible execution risk that inevitably may come with any restructuring plans and keen to hear how you’re thinking about really the trade-off between growth and capital distribution going forward, should you need to rebuild the capital.
Rolf Marquardt: I think we are within our target range, meaning that we have a certain degree of freedom to act obviously from the actions we have now or are now taking. It will also mean to a certain degree that risk exposure amounts could be impacted, meaning that we might reduce some exposures. But generally, we feel that we have a capital situation which makes it possible for us to also continue to grow in the core areas where we are active. And we haven’t sort of changed our view and ability in that regard. So I think we can manage that in a good way and also to – we also have room to handle some increases in capital requirements going forward related to countercyclical buffer requirements and CRE exposures in Sweden and Norway.
Operator: And the next question comes from the line of Adrian Cighi from RBC. Please go ahead.
Adrian Cighi: Two follow-up questions from my side, please, on NII and on costs. On NII, you mentioned the SEK 92 million headwind on margins in Sweden is split between mortgages, corporates and the senior non-preferred issuance. Can you clarify how you see these maybe developing across the buckets in 2020, particularly as you need to ramp up the issuance of senior non-preferred? And then another one on NII. You have another quarter of liquidity portfolio impact, which is quite meaningful on a year-on-year basis at almost SEK 300 million. Do you see this developing further into 2020 as well? And then on costs, thank you for providing the sort of 2020 budgets for AML and development costs. But should we consider this as an ongoing cost or base going forward? Or is this sort of a peak of a few years that is expected to go down? Or do you not have that sort of visibility? Thank you.
Rolf Marquardt: Thank you. So about the mortgage or NII impact of SEK 92 million, part of that was related to mortgages, so not all of it as you mentioned. And I don’t want to make any forecasts going into 2020. But I could reflect on the development we have seen over the last two years. And what I can conclude is that there has been an underlying expectation about the margin declining in this market for a long time. And now when we had a small impact, it wasn’t – didn’t come as a surprise. I mean competition is also fierce in this market. But we are also relevant and are already pricing at a level where the market finds itself. And that’s something you can see when you look at the average margins that we have and our peers have. So it has, at least in the past, indicates that even though there has been expectations about margin drops that really happened that way at least. So you can’t exclude the likelihood. But it has been more stable than maybe expected. And so I think you could combine that with the fact that we have a quite intense competition when you make the assessment. And I also think that a reason behind this is that price is certainly one of the important factors in this market, but it’s not the only factor. There are also the services surrounding this and the capabilities that – and market presence and activity also mean something to this. So I think that what you should bring into the assessment. And then when it comes to the need for senior non-preferred issuance, well, yes, we issued the first bond during Q3. We haven’t still – we still haven’t received the Swedish – proposal for Swedish legislation about this. So the estimate we have at this far is we need to issue over the coming years SEK 90 billion. But that could be reduced depending on the outcome in the proposed legislation. And then it could be a much lower volume. And we don’t really need – we don’t really know that. So it’s hard to assess. But now we have taken the first step and we have plenty of time to grow into this. So we have no rush in doing this. Then when it comes to the liquidity portfolio, I think I will pass over to Lars Hoglund.
Lars Hoglund: Yes. So the liquidity portfolio drop, as you mentioned, I mean it is primarily as a result of old bonds with high yields maturing. But it’s offset in the NFT. So it’s really – you have to take a view on where the interest rate level is going to see, what will happen going forward. But again, on the bottom line, it’s not an impact, it’s offset by gains in the NFT.
Rolf Marquardt: And then finally, your question about AML cost and how to think about that going forward. And what we have guided is that we expect the level to be the same as 2019 during 2020. But we don’t go any further in time when giving guidance.
Adrian Cighi: Thank you very much.
Operator: And the next question comes from the line of Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Good morning to everybody, and thanks for taking my question. Just a couple of follow-ups from me, too. First of all again is on the cost savings related to abandoning the market. Just to be 100% sure I understood it correctly, the SEK 1.5 billion you’re mentioning is related only to leaving Asia and Germany and – or does it include also the Baltic countries and Poland? This is my first follow-up. The second, again get back on the – one second on the revenues associated to shutting down these businesses. I see that there is a comment from Bloomberg today, income is expected to decrease concurrently by SEK 0.5 billion and they say once measures are carried out. Does this mean these businesses were run with 150% cost-to-income ratio or the SEK 0.5 billion revenue that we could lose is a number post mitigating these actions, mitigating factors? And then get back one second to the SEK 90 billion you just mentioned with regards to senior non-preferred. Is it fair to assume that this is the amount you expect to issue with the current regulation of the Swedish National Debt Office, including the liability proportion principle with regards to MREL? Is that where I get it by? Thanks.
Rolf Marquardt: Okay. Thank you, Riccardo. We’ll try to answer your questions. So regarding the cost savings of SEK 1.5 billion, the part of it which is approximately, I would say, 1/3 is related to Handelsbanken International countries. And that does include also Poland and the Baltic countries and also the Asian countries and also Germany. And when it comes to the potential income loss, that mainly also stems from us leaving these countries. And you could – when you look at these countries and the income and cost levels we’ve had, you will realize that some of them have been loss-making and cost/income ratios have been really poor. But then the rest of the one – the remaining SEK 1 billion is not related to those countries and more related to some products that we will cease supporting and also internal rationalizations so that the cost – or sorry, the income impact from that is less – is much more limited. And then when it comes to senior non-preferred, yes, what I was referring to, the liability proportion principle, we don’t know if that will apply or not until we have the proposal for Swedish legislation. And that impacts the need for senior non-preferred issuance going forward. So that is an uncertain element we have. The SEK 90 billion I mentioned, that is if you – the amount we would face if we would – if that principle would be kept. And then we have plenty of time to grow into that. So it’s nothing that we see as difficult or critical.
Riccardo Rovere: So the SEK 90 billion is with the liability proportion system – principle, sorry, is a loss, assuming that the whole MREL requirement has to be covered by with subordinated liabilities and excluding any senior allowance, correct?
Rolf Marquardt: Over time, yes, when it’s being fully implemented. Yes, that’s the intention. But that is also where we have the uncertainty because we don’t know and not sure that, that will actually be the final outcome when the Swedish legislation is going to be passed.
Riccardo Rovere: And just to get back one second on this, when do you expect BRRD 2 to be incorporated in the Swedish legislation? Is it going to be 2020, you think?
Lars Hoglund: It’s Lars here again. So we expect to get some more clarity, first of all, in mid-December this year regarding how to implement it. And then of course, the legal process will take its time. So it’s too early to say exactly when it will be implemented. But at least, we will have, we believe, more clarity in mid-December this year.
Riccardo Rovere: Okay. Thanks, Lars. Thanks a lot.
Operator: And the next question comes from the line of Jacob Kruse from Autonomous. Please go ahead.
Jacob Kruse: Hi, thank you. I had a couple of questions. First, on the restructuring program, so you say 1/3 is this reduction of other units. And then you talk about stopping certain services that you consider non-core. So would it be possible to just give a little bit more clarity on what kind of services that relates to? And then my second question on the restructuring area was just your underlying growth, the last 12 months that you give, I think, is on Slide 35, was about 3.8% ex the AML and some currency, et cetera. So when I look two years out at your gross cost savings, is that 3.8% underlying cost creep a starting point? Or is that too high? Should I look at inflation? Or how should I think about that underlying cost growth? And then I guess my last question, just on the capital side. You are using now a 1.2% discount rate for your pension liabilities. SEB said 0.75%. Today, I think Swedbank was 1.06%. Do you think you’re going to have to cut this? And how do you think about that in the context of your capital buildup going forward? Thank you.
Rolf Marquardt: Thank you, Jacob. Regarding the restructuring and non-core services and what that might contain, no, we will not disclose any very specific details about exactly which services that will cease and taking out of the offering or where we’ll stop investing more in development and so on. So the way we want to approach this instead and to guide you is rather to start in the other end, which is actually to tell which customer groups that we want to service and the areas in which we will service them for these groups who want to have a complete offering, who want to develop a complete set of services that these customers want. But then outside of these customer groups, we do have other customers and services that they ask for that we will cease supporting. But that is something we are going gradually to deal with and take care of in an orderly manner to treat customers well and to treat the business and also our income in a good way. So we are not going to be very specific about that. And then when it comes to the underlying cost growth, you referred to a picture 35 in the pack. And there, you can see clearly that the cost increases we have seen – well, first, you have an FX effect, of course, that impacted, which we can’t do much about. But then it is also the financial crime prevention part, which is SEK 542 million. So that’s really a big chunk in this area. And that change, you are not going to see next year because we are going – we expect to be flattish on that kind of cost. And the same goes for development cost, which has been quite stable this period. But we expect it to be – in the past, it has been an important cost driver. And then we have also spoken about how to view our UK operations. The big cost increase part of their development when it comes to the head office buildup and also to deal with financial crime prevention management, that is also, to a large extent, done. I think that gives you sort of a good foundation for assessing our future cost inflation and what level you could expect it to end up with at. And then finally, on capital, yes, the discount factor we use for discounting our pension liabilities and to value those is actually 1.4%. And when we do this, we have to – we should do that based on the interest rate on high-class corporate bonds. And in the past, we haven’t had any denominated in SEK. So we have used covered bonds, Swedish covered bonds mainly in that index that we have in order to produce a discount curve. Now more bonds have been issued and some by really high-quality companies in Sweden and also any denominated in SEK and also that fulfilled the requirements we have on liquidity. And when we then have added these to that index that we use to estimate this, we come to 1.4%. And this has been reviewed by both, of course, our risk control and auditors and so on, so I don’t expect it to change method-wise.
Jacob Kruse: Okay. Great, thank you. Thank you very much.
Operator: And the next question comes from the line of Richard Smith from KBW. Please go ahead.
Richard Smith: Yes, good morning. Most of mine have been answered. But just one very quick one just on – given the amount of digitization work that you’re undertaking at the moment, I wondered if you could just give us a sense of how we should think about intangible asset progression from here. It looks like sort of there was about another SEK 100 million to SEK 200 million increase quarter-on-quarter. Is that still a reasonable run rate for us to be thinking about going forward? Thanks.
Rolf Marquardt: Yes, that’s – I think the best estimation is actually that we’ll continue to develop at approximately the same pace next year as we have been doing this year. We have also guided that the cost – development cost level is expected to be flat compared to this year, also next year. And that gives you some guidance. And then the level could vary a bit depending on which kinds of products we are running. But that’s a fair assumption.
Richard Smith: Okay, thanks very much.
Operator: And the last question comes from the line of Chris Hartley from Redburn. Please go ahead.
Chris Hartley: Just a very quick last one. I’m thinking of about the 1,600 FTE efficiency savings that you talked about sort of back end of last year, I think it was. Just want to double check that is still additional to everything else that’s going on. And also do you think we’ll sort of see any impact of that in those absolute expense numbers that we have on Slide 37? Or is this is more going to be kind of used up in slightly cheaper revenue growth? Thanks.
Rolf Marquardt: Chris, yes, about the 1,600, that is still – so how to think about these two activities that are ongoing now is the 1,600, that is about improving processes and sort of running the bank as it is. Measures we have announced today, that is structural activities, structural changes we are going through. And the overlap between the two is very limited. And regarding the 1,600, that is going according to plan. So it has delivered approximately during the last year since we started approximately 400 FTEs in terms of time saved. And then a fair part of that has materialized in number of employees employed in the branch network in Sweden and the other Scandinavian home markets, in particular. But that has also been overshadowed by the fact that we have recruited more people at the country level to build up the financial crime prevention management part of the business. So that sort of hides that impact. So that program and development is running according to plan and will continue to do so.
Chris Hartley: Great. Okay, Thanks.
Operator: And just one last question from the line of Robin Rane from Kepler Cheuvreux. Please go ahead.
Robin Rane: Hi, it’s Robin, Kepler Cheuvreux, thank you for taking the question. Just one last question. How do you think about negative household deposits in markets with negative rates in general and then in Denmark in particular? And on that note, how large share of household deposits do you have that is larger than the about EUR 100,000 covered by the deposit account scheme?
Rolf Marquardt: So regarding negative rates on household deposits, we have no plans to introduce that at this point in Denmark. And then we have to wait and see how things develop, but we have no plans to do that in Denmark. And then when it comes to what falls outside of the deposit account scheme in Denmark, I will pass it on to Lars Hoglund.
Lars Hoglund: Yes. And that’s a number we haven’t disclosed at all, so I will pass on that completely.
Robin Rane: All right, thank you very much.
Operator: There are no further questions.
Rolf Marquardt: Okay. So if there’s nothing else, then thank you very much for listening in. Bye-bye.